Olivier Roussat: [Interpreted] Hello. Good morning. We may as well start now a few seconds ahead of schedule. We have a little video by way of introduction. But before this, I would like to say a few words about the setting up of our Construction division. Well, more to the point, we are bringing within our group, the 3 businesses involved in Construction, Colas, Bouygues Construction and Bouygues Immobilier. So we decided to have this division because it enables us to generate revenue synergies, and it can also boost our -- both the sales and the profitability of our businesses. We do have some differentiation at -- in governance. At Bouygues Construction, the Pascal Minault, who was Chair of the Board, CEO, Minault is now Chair and Pierre-Eric Saint-Andre becomes CEO, Managing Director as it were. He was in charge of Batiment International. At Colas, we appointed Pascal Minault as Chairman of the Board and Pierre Vanstoflegatte is now CEO. And at Bouygues Immobilier, as you know, we had already distinguished between the Chair and the CEO, Pascal being the Chair of the Board; and Emmanuel Desmaizieres becoming the CEO of Bouygues Immobilier. So at the Construction division, the head is Pascal Minault, who chairs each of -- the Boards of each of the 3 BUs. And so let's move on to our little new institutional video. Off we go. [Presentation]
Olivier Roussat: [Interpreted] Right. So this new video. This is our opportunity to display and show up all our skills and some of the businesses we engage in and all the work of our -- the good work of our employees. Let's move on to Page 4. Revenue was stable year-on-year. It was -- it suffered from currency effects to the tune of EUR 560 million in H2. The overall effect for the year was EUR 580 million. On a constant exchange rate basis, revenue was up 1.3% over the year. So the results for 2025 are sound. COPA is significantly up over the year, driven mostly by the Construction businesses, but also by Equans, and that has enabled us to get beyond expectations. The net income attributable to the group was up over the year in spite of a heavier tax burden in France. Free cash flow before and after WCR stood at a historically high level, up for the third year running. Change in WCR stood at plus EUR 941 million over the year, a cumulated amount of EUR 3 billion over 3 years. And then the net debt is much less than it was at the end of 2024. The cash positions of Colas and Bouygues Construction both at historically high levels. And then -- and we'll get to that in detail. The Perform plan of Equans has been running smoothly, both in terms of profitability and cash generation. In this context, the Board of Directors will suggest to the AGM in April a payout of EUR 2.10 per share, up 5% compared to '24, again, an increase for the third year running. If you look at on Page 5, the key figures, revenue stood at EUR 56.9 billion, stable over the year, slightly up on a constant scope and FX basis. COPA stood at EUR 2.655 billion, up EUR 120 million. Net income for the group stood at EUR 1.138 billion, up EUR 80 million. But if you restate this for exceptional tax contribution, the actual improvement was EUR 149 million. The effects of the new budget, the tax law and the special tax on social security, which was voted in Q1 2025, that weighed about EUR 93 million altogether in line with our expectations. And then good news regarding the net debt position, standing at EUR 4.2 billion at end December 2025, a significant improvement, about EUR 1.9 billion over the year, an excellent performance, reflecting the efforts deployed on cash management and the good cooperation between our operation people and our financial people. Now let's look at our greenhouse gas emissions, where we stand at 2025 compared to 2024. Our global footprint stood at about 19.5 million tonne equivalent of CO2 in 2025. So that's a 1.5 million tonne improvement over the year. The carbon intensity was also down. And that, of course, is a reflection of our commitments with SBTi. We've been producing solutions with lower carbon footprint. So this is reflected in practice. But of course, in some parts of the world, the carbon footprint are de facto higher because of the source of energy used in various parts of the world. Let's move on to the order book. Our backlog for the construction business stands at EUR 32 billion, giving us good visibility for the future. On a constant change and scope basis, order book was up 1% over the year. The currency effects weighed down to the tune of EUR 600 million, but that order book was stable in France, slightly up in Europe outside France and the international region outside Europe was down, but we did have significant contracts at the end of 2024. I'll get back to that later. Let's look at a breakdown of the order book in the various businesses. The portion of orders to be performed in the next 12 months was stable over 1 year. And this is, of course, reassuring in terms of revenue generated -- to be generated rather in 2026. In Colas, the order book stood at EUR 13.7 billion, up 4% over the year, 6% on a constant scope and exchange basis. That was driven by Rail. The order book was up 17%. Roadwork was down 3%, in particular in France because of the context of municipal elections ahead of local elections, there's very little done in terms of public works. At Bouygues Construction, order book stood at EUR 17.5 billion, down 4% over the year and down 2% on a constant scope and FX basis. It was up inside Batiment France, also up at Batiment International, but down for public works. Of course, there was an unfavorable basis of comparison in 2024. We had the T2D contract in Australia worth upwards of EUR 2 billion. Having said that, I would qualify this by saying that when we -- with the order of size, well, we'll have about 1/3 of the whole project, about EUR 3 billion. We haven't recognized EUR 3 billion. We only recognized EUR 200 million or EUR 300 million because the project will go batch by batch. But we know that the future years, altogether, it will some up to EUR 3 billion. So it depends on how we recognize projects. I mean, we could have more change in the order book depending on how we record it. At Bouygues Immobilier, the order book was EUR 800 million, down 16% over the year, 9% on a constant scope and exchange rate basis. We decided to dispose of Bouygues Immobilier in Poland in 2025. And of course, that is reflected on the order book. Colas orders -- order taking stood at EUR 13.7 billion over the year. In France, new orders were slightly down. Again, there the local elections that doesn't help. But abroad, the orders were up in Northern Europe and also in Asia Pacific and Canada. And for instance, in Q4, Miller, that is our roadworks company in Toronto in Canada, took in an order worth EUR 100 million for the maintenance of road infrastructure. In the Rail, the order taking was up, significantly up. There was a train contract in Britain, a high-speed train line in Morocco. There's a contract in France. In Northern Europe, there's a contract for tramway. You may remember our Finnish branch, Destia got a EUR 100 million -- EUR 200 million contract for tramways in Vantaa. Bouygues Construction order taking stood at EUR 10.1 billion. You have run-of-the-mill activities at a high level in 2025, a record level, what we call run of the mill at Bouygues Construction is all businesses worth less than EUR 100 million. So that's a pretty significant amount anyway. But when that business increases, we're looking at businesses where we have more competition because these are smaller projects. And so it goes to show that Bouygues Construction is gaining market shares in a very competitive business. So this is very good news indeed. And you do have a few projects worth more than EUR 100 million. We have 2 data centers, one in Australia, one in France worth EUR 400 million. At Bouygues Immobilier, the market is still challenged and has been throughout 2025. We do have a few indicators indicating some resumption of business. We have building permits. We have reservations. Also, the cancellation rates was down, and that's rather good news. By contrast, the office business is slowed down. It's actually ground to a halt. Right now, there's not much going on at all, when -- but things may change when people working from home will go back to the office, in particular, the banking industry, the insurance industry are having their employees going back to work at the office. And so that might mean more office space. We'll see how it pans out in the future. Looking at the Construction division again, the revenue stood at EUR 27.8 billion, up 1% over the year, up 3% on a constant scope and exchange basis. Colas' revenue was slightly increased over the year, thanks to the Rail business, up 13% and the roadworks revenue was stable over the year, slightly up in France, slightly down overseas, but more in EMEA and North America. Colas' revenue was hit by a negative exchange effect to the tune of upwards of EUR 270 million, mostly to do with the Canadian and the U.S. dollars. But on a constant scope and exchange basis, Colas' revenue would have been up 2% over the year. Bouygues Construction's own revenue was up 3%, driven by its 3 divisions, Batiment International, Batiment France and Public Works. That also suffered a EUR 150 million effect on currencies and that's to do with the Australian dollar, but also the Hong Kong dollar and to a lesser extent because of the American dollar. Bouygues Construction's revenue on a constant basis would have been up 4% over the year. Finally, Bouygues Immobilier's revenue on the face value was down 4% over the year. But in fact, on a constant scope, again, an exchange basis, it would have been up. And that was because, of course, we disposed of our business in Poland in July 2025. Let's look at the operating performance of these various businesses. The Construction division's COPA stood at EUR 982 million in 2025, up EUR 155 million over the year, again, on all 3 fronts. At Colas, COPA stood at EUR 586 million. Margin from activities improved to 0.2 percentage points to 3.7%. At Bouygues Construction, COPA stood at EUR 376 million. Margin from activities improved to 0.3 percentage points to 3.5%. And at Bouygues Immobilier, COPA reached EUR 20 million, but that was because we disposed of our business in Poland. But there is one structural positive item, the restructuring gains, restructuring conducted in 2024, EUR 24 million are now bearing fruition. So we can feel the benefit of that. Now let's move on to Equans. At end December 2025, Equans' order book stood at EUR 25.4 billion, and that's stable over the year, year-on-year on a constant rate and scope basis, it would have been up 1% compared to December 2024. In 2025, it had orders worth EUR 18.3 billion, stable over the year. And that stability reflects our selectiveness in contracts. At Equans, we consider contract to be big if it's worth more than EUR 5 million. Bouygues Construction, it's worth more than EUR 100 million. But anyway, orders worth more than EUR 5 million were up -- sorry, contracts worth less than EUR 5 million accounted for 2/3 of all orders for the year. We worked a lot on data centers. You may remember that business slowed down in Europe and now it started again in the U.S. and we have the -- apparently a sign of that business resuming in Europe. There were 2 data center contracts taken by Bouygues Construction. Of course, before Equans provides services, we have to build the centers themselves. So when we see the concrete coming in, well, then later on, at the next stage, we'll have machines bring in HVAC and such like, and that's Equans' business. Anyway, Equans' revenue stood at EUR 18.7 billion year -- over the year, slightly down, down 2% year-on-year. Now that reflects the fact that, well, there was some wait and see with data centers, also the giga fabs in 2025, but also a proactive decision to pull out of nonprofitable businesses, nonperforming or at least not in line with the ratios we expect. And then to some extent, there was some currency effects worth about EUR 160 million. The very good news, though, is COPA. COPA was significantly up to EUR 820 million. Margin from activities up 0.8 percentage points to 4.4%. That is -- that performance is better than what we expected when we had our Capital Markets Day in 2023. The target we set was close to 4%, but 4.4% is significantly more than that. If you look at the Perform plan that Jerome and his team rolled out, you may remember that is supposed to go from '23, '24, '25 and '26. This is now -- we are now at the beginning of 2026. If we look back on this plan, we have this on the next 3 lines, the trend in revenue -- well, found the actual trend was better than what we expected. All in all, we have a 6% growth for the period, but that growth was driven by contradictory factors. On the one hand, they were proactive pulling out of nonstrategic businesses, and that weighed about EUR 600 million over the past 2 years. There was, as I said, this wait-and-see business with the giga fabs and data centers. But the revenue in 2025 turned out to be in line with expectations when we introduced the Perform plan. Having said that, 2025 was the first year where we actually materialized on M&A operations. You may remember that Equans through small acquisitions, I think there were 5, 6 or maybe 7 of them. Equans made acquisitions worth, I mean, in terms of revenue, about EUR 200 million worth over a full year. If we -- amongst the sources of satisfaction we have with the Equans and Jerome's teams, we have excellent news on profit margin. You may remember that when we acquired Equans, the margin stood at about 2.2%, 2.3%. It's now -- in 2025, it stood at 4.4%, so ahead of schedule as it were. And you can see on the slide, the yellow areas there are where we expected to fall back on our feet. In 2023, we were upwards of our bracket. In 2025, we were above the range announced. And again, we have to pay tribute to Jerome's teams who did a fine job there. When we showed the outlook in 2023, a few people believed it. Anyway, we had 5 ways of getting there and all 5 ways were pursued, and there's still more to do. So that's very promising. The other positive item, of course, is cash generation, cash to COPA to cash generation. You may remember that we were banking on 80% to 100%. But we are right there now. We are upwards of that range. I mean, we stood at 98%, now 96.3%, way up there. And on the right-hand side of the slide, you find the net cash position, a significant improvement compared to 2022. And if we take on board the position of Equans when we acquired it, it stood at EUR 200 million in net debt. At closing, the position at end December 2025 was EUR 2.097 billion plus. So the improvement is EUR 2.3 billion. It should be pointed out that over that period, Equans paid out to its favorite shareholders EUR 730 million in dividends. So we're looking at EUR 3 billion generated. So again, congratulations to [ Etienne ] and his teams that we were able to generate so much cash. I mean, it's financial and operating performance. Now by way of conclusion, Equans has been pursuing its strategic plan. Well, you may remember that Equans plan was -- well, a turnaround plan that was to be completed by 2026. Now where do we stand? What's the guidance for Equans? We're looking at stable revenue compared to 2025 on a constant exchange rate basis. Margin for activities should be 5%, 1 year ahead of the timetable we set during the Capital Markets Day in 2023. A cash conversion, well, of 80% to 100% from COPA to free cash flow before WCR. And then there will be another Capital Markets Day at the end of the year, so that Jerome and his team can give us the outlook for the following years, 2027, 2028 and '29. We'll get back to that. And now Bouygues Telecom. Bouygues Telecom has reached the targets it announced. Billings to clients up on 2024, including from La Poste Telecom. EBITDA after lease obligations close to 2024 and the gross operating CapEx, which we said would be around EUR 1.5 billion and ended up at EUR 1.48 billion. On the next page, we have a number of indicators on the left-hand side, a number of awards and classifications awarded by various institutions, in particular, by institutions that take its data from crowd sourcing. That's a real perception of how we fare by comparison our competitors. You'll see that we are #1 everywhere. We picked the ones we like best. I'm not sure that we're #1 absolutely across the board, but everything on that screen is true. I suppose the very pleasant side of that is that when we began in fixed line, we weren't very good. I was in charge of the company at the time. So I have to say, well done, Benoit, your people have done a great job. On this slide, we've shown you a photograph of a number of decoders because we -- the engineering department uses quite a number of decoders. One that's known as an AI boosted decoder. It's a better way of capturing screen. I think this is only the early days of artificial intelligence. Our commercial performance in terms of volume and value. The growth momentum has continued in fiber because Bouygues Telecom has gained another 510,000 clients over the year, including 139,000 in Q9. The total number of clients is now 4.7 million clients with fiber to the home, which is 86% of the whole national population with fiber to the home. A total of 5.4 million clients, which is an increase of 267,000 in 2025, an increase of 83,000 in Q4. Since the start of 2025, Bouygues Telecom is not marketing the ADSL plan anymore. So this is all non-ADSL, unlike our competitors. We feel that ADSL does not have a sufficiently good level of performance sell WiFi sets that have extraordinary performance with a little wire that's too small and it doesn't really enable us to reap the benefits of what we have at our disposal. ABPU is up EUR 0.40 over the last year. So in mobile phones, we performed well, good strong momentum in a market we could qualify as competitive. At the end of December, we had 18.6 million plan subscribers, not including machine-to-machine, which is an increase of 316,000 clients over the year, including 86,000 in the last quarter. This reflects, first of all, our improvement in terms of churn since we launched the big offering in October, November '24. Customer satisfaction, which has also improved. And of course, we've been successful with our convergence offering. Growth also comes from La Poste Telecom. Our ABPU in mobile, including La Poste Telecom stands at EUR 17.30. That's stable by comparison with the second and third quarters, but down over the last year because of the dilutive effect of La Poste Telecom, where the ABPU was lower than ours. And of course, there's considerable pressure on the acquisition costs when acquiring new clients in the market in 2025, particularly with a lot of aggression on the part of SFO. Bouygues Telecom's figures. This is ABPU for 2025, which rose by 4% over the year. In La Poste Telecom, that figure is almost stable over the year. Total sales up 4%, which includes other sales, [ terminals ], accessories and so on, which were up 5% over the year. EBITDA after lease obligations stood at over EUR 2 billion. That's stable for the last 12 months. There's a limited contribution on the part of La Poste Telecom so far. The stability of EBITDA is a reflection of the increase in sales build and of course, good cost control, thanks to Benoit and his people. But conversely, an increase in the cost of energy because Bouygues Telecom does no longer have the energy coverage that negotiated in 2020 and '21 before the war in Ukraine, which, of course, had consequences on the cost of energy in Europe. COPA was down in the year to EUR 674. This is largely because of amortization. We -- CapEx peaked a number of years ago. We now must depreciate that. And this, of course, reduces the value of our current operating profit from activities. The gross CapEx activities, I've already commented. In 2025, Bouygues Telecom made acquisitions for a total of EUR 374 million, which is a big increase over 2024, mainly the disposal of Infracos assets. Infracos is a joint company that generates part of our shared network with Bouygues Telecom and SFR. That transaction was finalized in December of 2025. What is the outlook for Bouygues Telecom in 2026? For 2026, we are targeting a billing to clients and EBITDA after lease obligations close to the level we achieved in 2025. As we announced at the end of 2024, the growth will be modest by comparison to 2023, not including La Poste Telecom. Gross operating CapEx is expected at EUR 1.3 billion, not including frequencies, which confirms that we have decreased our total CapEx over the last 5 years. Free cash flow before working capital requirements of approximately EUR 600 million, not including La Poste. This -- when we include La Poste SFO, we expect that the free cash flow from -- will be in the region of EUR 500 million. One final point here is that Bouygues Telecom will not be exercising its purchase option on the 51% of the joint venture called SDAIF, which rolls out fiber in medium density zones. TF1. In 2025, the TF1 Group confirmed its leadership in terms of viewership. The share of viewership among 50-year-old women is 34.5%. These are decision-makers in the home, share of audience, share of viewership at 30.9% between 20 and 49. In digital, TF1+ has become the reference in -- as a streaming platform with 38 million streamers per month on average, up from a mere 33 million in 2024. Sales in 2021 totaled EUR 2.3 billion, down fractionally over the year on a like-for-like basis. This is despite the fact that the advertising market deteriorated, especially in Q4. The media figure was EUR 1.9 billion, down 4% over the year. This includes advertising revenue down 4%. Advertising in linear television, that's traditional television, if you like, has been adversely -- seriously adversely affected by the market conditions we had at the end of last year, given the political instability in France, in particular, which led to a lot of advertisers waiting to see. In digital plus TF1+, we have continued to perform very well with advertising revenue up 36% over the year, thus confirming just how attractive this platform is to advertisers. The sales figure of Studio TF1 reached EUR 376 million, up 9% over the year. And that includes a contribution of EUR 44 million from JPG, which is mostly focused on the latter part of the year. These are studio activities that are very close to the various orders placed. TF1 Studios figure -- sales figure increased by [ 6% ] over the year. TF1's COPA was down to EUR 252 million because of a relatively stable cost of programs at EUR 967 million. I should remind you that this COPA figure includes capital gains for EUR 38 million in 2025. In 2024, these included capital gains for EUR 27 million. So the margin was actually 11%, in line with the objective announced by [ Rudolph ]. When we published the results after 9 months, we were targeting a COPA of between -- COPA margin of between 10.5% and 11.5%. What's the outlook for TF1? Well, thanks to its strategy and the various new initiatives in digital, its strong financial position as well. Well, the group has the following targets: sustained double-digit growth in 2026, that's sales growth, a dividend policy on the up in the years to come. And of course, customers are changing. The macroeconomic and political environments are unstable. We fear that the advertising market is and will be under severe pressure in 2026. And during this phase towards advertising, which will be mainly digital, TF1 intends to maintain its margin on activities, not including capital gains, of course, in the mid- to high single-digit range, in line with the linear market. Now I'm going to give the floor to Pascal Grange, who will give you a detailed presentation of the accounts. Pascal will be giving this presentation for the last time because Pascal is about to retire. He'll be leaving the company tomorrow. So dear Pascal, you have the floor. And may I thank you for everything we have done over the last years. Pascal says, you talk too fast, you don't smile, you'll finish your sentences. I don't know how you -- I did today, but I did my best. You can tell me what you think afterwards. Pascal, leave my notes open on Page 38, please.
Pascal Grange: [Interpreted] Good morning, everybody. Thank you so much, Olivier, for these kind words. Olivier has already spoken about the sales and COPA of the various businesses. I'm going to add a few items concerning the profit and loss account on Page 32, Slide 32. In 2025, we recorded EUR 100 million in amortization of PPAs, which is comparable to 2024. This EUR 100 million comprised mainly EUR 46 million linked to Equans carried by Bouygues SA and EUR 35 million linked to Bouygues Telecom. Secondly, nonrecurring items, which are not representative of the business, they totaled a nonrecurring expense of EUR 224 million, broadly comparable to 2024. Of course, the breakdown of this nonrecurring result in 2025 is different from the previous year. This year, the components include something we already had last year. That is the Equans management incentive plan given the good performance. This is partly carried by Equans and partly carried by Bouygues SA. Over the year, that represented in the region of EUR 100 million. Secondly, provisions at Bouygues Construction due to the change of fireproofing regulations in the U.K. This amounted to EUR 74 million over the period. Thirdly, expenses concerning litigation expenses at Colas for EUR 42 million. And finally, a net balance of nonrecurring income and expenses at Bouygues Telecom for EUR 9 million. This included capital gains on the disposal of sites, data centers, various expenses concerning litigation. Thirdly, the financial results, which includes the net cost of finance, net interest expense on lease obligations and other financial income and expenses totaled an expense of EUR 410 million, up from EUR 392 million in 2024. Finally, the share of net profits of joint ventures associates totaled EUR 6 million after an expense of EUR 11 million last year. As a result of our share of the exceptional surtax mentioned earlier on, that's EUR 69 million, our group net share of net income was EUR 1,138 million in 2025, up EUR 80 million. Barring that surtax, we would have had an additional increase of EUR 149 million over the year. Overall, if we look at the impact of the Budget Act and the Social Security Budget Act voted in '25 for 2025, this impact totaled a combined EUR 93 million, which was consistent with our initial estimations. As you can see on Page 33 now, our net debt at the end of 2025 totaled EUR 4.2 billion, down from EUR 6.1 billion at the end of 2024. That's a very substantial increase, EUR 1.9 billion less over the year, as Olivier said earlier on. The variation by comparison at the end of 2024 is mainly due to the following: acquisitions net of disposals for a total of minus EUR 76 million, which includes a number of acquisitions and disposals at Equans, Colas, Bouygues Immobilier and TF1 and investments in joint ventures by Bouygues Telecom. I should take this opportunity to remind you that the proposed acquisition of Suit-Kote by Colas is still being dealt with by the U.S. antitrust authorities. Change in debt also factors in the variations in share capital for plus EUR 251 million, mainly including the exercising of stock options by employees in 2025. Secondly, the dividend payout of EUR 865 million, including EUR 755 million, paid to shareholders of Bouygues, the remainder being almost entirely paid to minority shareholders in TF1 and Bouygues Telecom. Finally, operations and other contributed a total of EUR 2.6 billion. And we're going to look at this. This is free cash flow from operations and other, beginning with net -- this is a figure that is very comparable to 2024. Excluding frequencies, this was EUR 1 billion, which is considerably less than last year. It also includes disposals of Bouygues Telecom for -- mainly due to the disposal of assets held by Infracos. Free cash flow before working capital requirements was EUR 1.808 billion, and this record level is a reflection of the efforts made by all our business lines throughout the year. The figure also includes transactions carried out by Bouygues Telecom in 2025 for a total of EUR 220 million, including the disposal of assets held by Infracos and the resolution of litigation. Variations in working capital requirements, as we said earlier, totaled EUR 941 million. This is a positive amount for the third year in succession and represents close to EUR 3 billion in aggregate over 3 years. This very positive variation is lessened by the impact of foreign exchange, which burdened us by EUR 197 million this year. Page 35. Our net debt at the end of 2022 was EUR 7.6 billion following the acquisition of Equans. Our strong financial discipline has led us to significantly reduce that debt over the last 3 years, notwithstanding the financial transactions during the period. And I'm thinking in particular to the withdrawal offer on Colas in 2023 and the acquisition of La Poste Telecom in 2024. Our net debt has been reduced since we acquired Equans by close to EUR 3.3 billion. Our financial situation is very strong. The outlook is good. So we have raised the dividend proposal, which, as you know, is part and parcel of a long-term strategy. This year, the Board of Directors will be asking the shareholders to approve at the AGM April 23, a new increase in the dividend for the third consecutive year by increasing that dividend from EUR 2 to EUR 2.10. If the resolution is approved, the dividend that we will pay to our shareholders will have increased by close to 17% in the space of 3 years. Let's finish with a few words about our financial structure. Our net debt has diminished, leaving us with a gearing of 28%, which is a 14-point improvement over a year. May I also remind you that the rating agencies have given the group very strong ratings. S&P have given us an A- rating with a positive -- sorry, a stable outlook. Moody's have given us an A3 rating, again with a stable outlook. The group's cash situation stands at EUR 17.6 billion at the end of 2025, which is a very high level. It's comprised of EUR 6.4 billion in cash and cash equivalents and EUR 11.2 billion in medium- and long-term credit facilities that have not been drawn down. And finally, as you can see in the graph on the bottom right, the debt schedule is well spread over time. That brings me to the end of this presentation of our accounts. If I could say a word on a more personal note before giving the floor back to Olivier Roussat. Over the last 6 years, I've had the pleasure and honor of meeting you and presenting the group's accounts every half year in a very interesting circumstances, sometimes very unusual circumstances. And I think, of course, the COVID period, the acquisition of Equans, the acquisition of EIT and La Poste Telecom, with a certain amount of emotion, I'm passing the baton to Stephane Stoll, who was appointed Group CFO in July 25. He knows the group particularly well. He joined 30 years ago and has performed brilliantly ever since. As for myself, after 40 years in the Bouygues Group, including 6 years -- the last 6 years at the senior management level, I've decided to retire. As you know, though we live in a very turbulent world, the group is in a very, very good position. This is thanks to the great work of the men and women in the group year after year, and I'd like to thank them for their contribution. Under the Chairmanship of Martin Bouygues, under the leadership of Olivier and now Stephane, the heads of the business lines and the members of the Management Committee, I have great confidence in the group's future and in its development. Thank you for your attention. And now, Olivier, you have the floor.
Olivier Roussat: Thank you, Pascal. I'm sure we will get them to answer a few questions with Stephane. Okay. I think we can -- before moving on to Q&A, let's say a few words about the outlook for the group. Just a paragraph that doesn't change much when we describe our environment year in, year out. We keep saying that this is a rather chaotic disrupted environment, the macroeconomic and geopolitical situations are very shaky at the moment, and the group will continue to be agile and adapt to changes in these different markets. What we're aiming for in 2026 is stability of our sales figure at constant exchange rates. We want to maintain our COPA at an all-time high level after several years of significant improvement. The improved COPA of Equans will enable us to offset the expected or anticipated falloff in COPA at TF1 because of tensions in the linear advertising market and that [ Bouygues ] Telecom which is again the result of its previous investments. Next slide, just as a quick reminder of the upcoming rendezvous, the AGM on the 23rd of April, dividend results in May -- for the first quarter in May, the first half year in July, the end of July -- 30th of July, but still July. There was pressure on us to finish everything before 31st. Thank you, Pascal. Thank you, Stephane, because he will be at the home with them. That may at the end of the presentation. We now to take your questions with the heads of the various business segments. You have the floor.
Operator: [Operator Instructions]
Unknown Analyst: And many thanks to Pascal for the present exchanges over the years, and welcome to the new CFO. I had a couple of questions, one on Equans. You -- In 2025, you mentioned a wait-and-see attitude from your customers on data centers. You see there's some sort of glimmer of hope there. Is there a resumption of growth in 2026? Are you confident? Are you optimistic? That's question number one. Question number two is on working capital. You never give guidance.
Olivier Roussat: It's good you know that, yes. But you will still ask a question.
Unknown Analyst: Yes, that's my job.
Olivier Roussat: And we'll give you the usual answer. All right. We will ask may be you'll come up with a different answer. I doubt it, but we'll see it. All right then. I've been managing figures.
Unknown Analyst: Over the past 10 years, we find that working capital contribution levels out. If I look at the past 2 years, you were above 0. So do you believe that Equans, which is a new item in the group, does Equans bring a structurally positive dimension to cash -- generation of cash from working capital. And then third, maybe a provocative question, but on telecoms, can you say anything at all about talks regarding the acquisition of Altice. Can you share anything with us? And stepping back from this, of course, money counts. But in light of Altice's operating performances, which really aren't that good. And I don't see how they will improve after a while, it's just not worth waiting because the assets will be back on the market probably at a low price in view of the trends.
Unknown Executive: Right. Well, [indiscernible]. The data center market has 3 items: the cloud, AI and then in terms of cloud has a stable influence, and we've had a few businesses in France. There's lots of capital expenditure on the AI more in the U.S. than in France. For the dual reason, fast access to capacity at least access to data centers was much faster in the U.S., and we benefited from that because we started a few data centers in the U.S. And then the second item is technological development, significant developments and players who are hesitating between 2 cooling technologies for data centers, and that slowed things down in terms of orders. That were lots of studies conducted in Europe, and we believe that they will be ordered soon because these studies have borne fruit. But right now until such time as we get orders from AI data centers, we will be waiting. Now Stephane, on the working capital.
Stéphane Stoll: This company likes continuity. So we do not give guidance on working capital, but for a simple reason because as you know, a significant portion of our business is related to projects and projects follow a different timetable than the fiscal year. And so they are -- of course, accounts don't or cash flows don't stop at 31 December. So we don't want to give guidance on things that might change over a short period of time. But you're right to point out that things have changed. Five years ago, we acquired Equans, an outside company, we knew that it showed great potential in improving its cash position. We humbly believe that with our background and our culture in the construction business, we have a pretty healthy financial culture -- corporate culture at Bouygues. And so when we acquired Equans, we had reason to believe that if we apply the self-same discipline at Equans, we could gain from that, and that's exactly what you saw on Olivier's slide on cash generation upwards of EUR 3 billion over the past few years. And so that reflects the tight management of WCR by the management teams. And third question on telecoms. The whole rally started off in April of last year. That's when we received the first visit from Altice saying that they were contemplating disposal of the assets. And at the time, we wonder whether what we could do about it, could we come up with our own offer, our own bid, or should we do -- should we work with others? But in terms of competition, of course, all 3 companies outside SFR had be aligned. And for that to happen, it had to be a joint offer. But you're right. As time goes by, the value of the asset may well come down. If there are 3 partners on the boat as it were, there are inevitably exchanges between the 3. We published something mid-October. Talks, it started back in April. So it took that much. It took that time to arrive at something of a position, which is an achievement in itself because in the syndicate, you have 2 companies that are not exactly best chums. So to arrive at a joint position was not an easy matter. Now regarding the talks, there are confidentiality nondisclosure agreements we've signed with Altice. The latest press leak that you found on 22 January was fully orchestrated by Altice having listed a careful protocol of what would happen if there was a leak, but the leak happened that self same day. So I imagine they are happy with the protocol. Anyway, we are in -- still in the process of due diligence. This process takes several weeks. We have to see how things happen inside the company to try and get what -- to find what synergies might come out of a deal. And so that's very careful work we are conducting after this due diligence work with our partners to see -- rather opposite numbers to see what the company is worth, really, and then we'll come up with an offer and then things become fairly simple, the sellers' expectations should be in line what we find. I'm not in a position to tell you whether that is the case because we haven't had a chance to exchange on that, but it's a dual issue here. On the one hand, we want to keep the agreement amongst the 3 of us, which isn't easy and then the big question is, are we in a position to come up with something that meets the sellers' expectations. But I do agree with you the present trend. For Altice is downwards and I find it difficult -- it probably will be difficult to slow this down or indeed to turn it around. I'm not the one driving Altice. And well, you go to the French Pentagon and you'll see the people there who can give you an answer. But we're not in a position at this point to say whether we will come up with anything. It depends on the sellers' own idea of the value of the asset. The asset has come down already and maybe we'll get to a point where we see eye to eye.
Eric Ravary: Eric Ravary from CIC CIB. And I would like to thank Pascal Grange for his fine work over the years. I had a couple of questions again about Bouygues Telecom. Can you give us details on the on the competition. We see that ABPU stabilized over Q4? And what's the outlook? What can we expect of mobile ABPU in 2026? About this SFR business, we've -- you've worked out value rather division of the [ cake ] as it were in October. Is this a stepping stone? Or might this change with your 2 -- with 2 other operators? And then to other questions on Bouygues Construction, excellent profit margin in 2025 upwards of 5%, so at the top of the range, I mean, 3.5%, you announced a guidance anywhere between 3.5% and 3.7%. Are we expecting the margin to be above that? Or have you leveled off? And on Equans, we find that some segments are slowing down. Can you give any color on what drives growth at Equans and what doesn't?
Olivier Roussat: All right, on the -- what we call the [ Mobillere ] project and that is the acquisition of SFR, there will be marginal adjustments, but if we agree on a given base, there might be adjustments, but there will be marginal adjustments as to the market itself. Both for the mobile and the fixed business, 1 item you should keep in mind on the French mobile market since the end of 2023, the market as a whole hasn't grown. It's stable, it's mature. So the equipment rate will not grow any further. You can look at the asset publications. The contract market had maybe 4 million lines compared to several hundred years before. So what we have is multiconvergent offers and our competitors are doing the same. So what we're doing is working on customer loyalty. We started this in 2024. This is bearing fruit. We have a lower churn, but the convergence promotions also bringing down or at least weighing down the ABPU curve. And then there's strong competition on digital plants, digital contracts, very much driven by SFR itself. And so in that category of contracts, the competition is tough and pressure on ABPU. As a result of that, we're looking at ABPU remaining flat on the mobile business. Of course, we can compensate with more volume and lower churn and generate good revenue and ABPU -- fixed ABPU is following an upward trend. One thing in what Benoit said in the -- on the scene on the face with the competition, we work -- we don't want to bring prices down to keep our market shares. We're working on churn and loyalty, but of course, the idea is not to bring prices down.
Eric Ravary: Now on Bouygues Construction, we have -- we stand at 3.5%. Is that a new trend?
Olivier Roussat: Yes. Well, our numbers, we ended up at 3.5%. So that's the upper limit of the range we announced. We are not changing that range, but there's no reason not to believe -- I mean, we might be able to be, again, next year within that range or at the top part of that range. And then Jerome?
Jerome Stubler: Well, there are a number of markets growing, the solar plants, data centers, they slowed down, but they are promising. And hospitals, we don't mention that much, but there is big growth there. And of course, the grid, the high-voltage networks, high-voltage grids in Europe. Biopharma airports, the defense industry, we have little exposure there, but the demand is strong. And then there's another market, not much mentioned, but that is security, electronic security and in the longer run, the nuclear industry. So that's our bread and butter as it were.
Operator: All right. The next question, Nicolas Mora from Morgan Stanley.
Nicolas Mora: About free cash flow in WCR, that is a question maybe for Pascal. But over the past 3 years, we generated EUR 3 billion inflow from WCR, can you account for this? So is that a conservative accounting that generated the surplus that is now in WCR? Or more structurally, is it at Equans better payment terms or service offer lower than demand so that you can have advanced payments and such like that's WCR? About Equans, the guidance, a bit conservative, isn't it on revenue on a like-for-like basis. You can see that order taking has been moving since Q3 and Q4 of last year. Based on that surely, you could be a bit more aggressive on revenue, I mean, if not volumes, but as there's improvement in order taking since the low point of 2025, isn't that the beginning of a turnaround. And on the Equans brand, the year 2025 was exceptional wasn't it? There was an acceleration in gains in profit margins. Well, things are never linear, but how can you account for this remarkable turnaround in 2025, especially at the end of the year. Now 2026, the guidance gives us 60 basis points. That seems to be the average over 3 years. Can you project yourselves all the way to 2028. Well, there will be a Capital Markets Day at the end of 2026. Well, there again, the profit margin seems to be bouncing back heading towards 4%. So we'd like to know whether this aspirational profit margin is that going to happen? Is that becoming real? And what's the expectation in the shorter term?
Olivier Roussat: Just a word about the different COPA figures that we gave you particularly Equans COPA. The figure we gave you 3 years ago now on Equans COPA was the margin. We said we'll be at 5%. We're telling you that we will be at 5% at the end of '26. That's not saying we won't do better, but it still leaves us a year ahead of schedule. As for the projection, remember that there's no reason why our performance on paper should be below those of our peers. And we do the same work as them, same business as them. When you look at the way we book this or that because self-advanced are treated differently, but there is no reason in theory anyway, why Equans should not achieve what its peers are achieving, give or take, not saying to be exactly the same figures, but put it differently, Jerome has a bit of leeway, he is not flat out and really tell you how we exteriorize all this. But it's too early at this point in time. But that said, Jerome, we will come back to that. Let's come back to the strict financial questions to begin with. Do you feel that there is a -- the beginning of a pickup? Now I'm going to stick to the guidance. It was only 5 minutes ago. I haven't changed in the last 5 minutes. So I haven't got much to add. I gave you the guidance 5 minutes ago. And yes, okay, the order intake picked up slightly in the third and fourth quarters. As a result, we are beginning the year on a better foot, but not much more I can say. The ForEx impact this year is not something we anticipated. It's not something we have any control over. And secondly, it's a significant impact, bordering on EUR 600 million negative impact in 2025 over a very short period because all happened in the second half year. And I'm talking about at group level. This is quite an impact. Now we'll continue with Stephane, who is now passing his test on.
Stéphane Stoll: Okay, this is my test. Okay. Just to say a little bit more about the mechanics of this issue, which is really the work of an apothecary on a day-to-day basis. It's -- first of all, it's self-evident, but I'd say it all the same. We refused to act on the terms of payment to our suppliers. We abide by our commitments to our subcontractors and suppliers, which means that we really focus on the client side of working capital requirements. This is an ongoing process because, first of all, it's important to negotiate the best possible terms and conditions, advances on payments, the payment schedule, which leaves us secured, very important to ensure that we have guarantees of payment for our projects. But there's also a lot of work that goes into the field of energy and services and I feel I'm very familiar with. There's a lot of work that goes into invoicing and payment through -- receiving of payment, improving working capital requirements is that the sum of a small little day-to-day series of tasks that consist in getting paid sooner. This is I said there's a lot of nitty-gritty in this because from a profit center, we're talking about a very, very substantial amount of money and a very, very large number of projects. So as I said earlier on to Matthew's in answer to Matthew's question, this is something that we've undertaken with great discipline. It requires great discipline, and it's something that we knew, maybe hadn't been done as rigorously at Equans as we are used to doing it in our Construction division. So this, of course, has produced results. We're doing this very carefully. We're not up to speed right across the board, particularly in terms of days of sales outstanding, what we call DSO. Now I would being cautious because, yes, okay, there are income booked in advance. Are we being cautious maybe. And if anything, it's a good thing to be cautious. I think this is a characteristic of our financial prudence.
Operator: The next question is Sven DeVelde from ODDO.
Sven Edelfelt: I have 2 questions, in fact. I will come back to working capital requirements, but would you give us some guidance on free cash flow as one of your competitors has done. My second question is on Colas. When I look at the order intake, I'm a little surprised not to see the U.S. as a potential source of growth. I think there are still over 50% of the infrastructure jog-packed funds that haven't been deployed. So how do you gauge demand in the U.S. infrastructure market unless I'm mistaken, Colas' margin in the U.S. is higher than in Europe.
Olivier Roussat: Just to comment before we answer about free cash flow, it will be a very simple answer for Stephane. But to come back to Colas. I realized that I didn't answer the previous question about what we could eke out because we're looking for a COPA margin of 4%, and we feel that 4% is a realistic target. So the question is when or by when? Well, we've never been closer, but and it is very realistic. Okay. In the U.S., margins are indeed higher than in Europe, but the particularity of the sectors we operate in, is that -- when I started this job in 2016, all the plans of Obama and others, every time a major infrastructure plan was announced we never thought actually materialize in our figures. We're very neutral with regard to that. But the reality of the situation is that our presence in the U.S. is quite rural depending on the states, things we could do, requires a lot of subsidies here, a little bit of help from a stimulus plan there. But I don't know Pierre if you'd like to add anything, but with he mic, please?
Pierre Vanstoflegatte: In the private market, we work a lot in the public works market. And even though the stimulus plan is beginning to come through, it's not exactly booming, but the private investment market in renewables or large harbor logistics platforms. They haven't really commenced. So there are a lot of things on standby because of the majority of large private investors and entirely reassured by the constant changes in policy in the U.S.A. So a lot of things on standby as a result of which there is more competition because broadly speaking, the companies that were working in this market are now turning to the public market to get through the winter.
Olivier Roussat: Free cash flow?
Stéphane Stoll: I didn't know I was passing so many examples today. There's one thing sitting the exam, there's another thing passing it. We use 2 different words. You sit the exam or you may or may not pass it. You're disrupting me there. Okay. No guidance on free cash flow at group level. We do give some guidance where it makes sense in the business lines or segments. So we do give guidance on telecoms. We give guidance, which I think makes sense in the field of energy and services, where our intention is to ensure that we can transform between 80% and 100% of our COPA elsewhere. We're very dependent on contracting with this notion and doesn't have the same sense at all for all sorts of reasons that we could develop at length, work starts, the delays, the temporality of our projects, which isn't aligned with the calendar year, which means that we could start on a project in late December and have to order CapEx in January. But in the world of contracting more, generally speaking, the cash curve and the income curve do not run in parallel. It's really at the end of the project that the income looks like it should. That's why we don't give guidance in these areas. And that is why we do not give any guidance at group level.
Olivier Roussat: Thank you, Stephane. Next question.
Operator: Next question from Mollie Witcombe from Goldman Sachs.
Mollie Witcombe: I have just 2, I think. Talking about AI, there has been a lot of talk about the AI economy. We haven't really mentioned it today. Could you give us some information on your strategy in AI, particularly in the field of telecommunications. And I'm pretty interested in your CapEx projections. My next question, and I apologize in advance. Could we talk a bit more about the [ SFO ] project? Maybe we've been some people's interest to reach an agreement quicker than in yours. Is there any timing conflict between you and other parties? And could it be that the increase in your dividend means that you do not see an agreement being arrived at in the near future?
Olivier Roussat: Well, the increase in the dividend is a very, very small amount by comparison with the investment that SFO would require. But to submit an offer to a potential buyer. We would have to agree among ourselves about the price to put on the table based on the synergies we anticipate. But for a project to be approved by the antitrust authorities, it's important that we table a project that has synergies. If there are no synergies, while the antitrust authority will tell us that they say this doesn't fit. We have to be able to show that we're capable of delivering this, we have to convince the antitrust authority. So that's the capability. The first discussion we have to have among ourselves to put a figure on this. Then we have to reach an agreement with the seller. The seller has expectations as regards the whole structure of the deal, the price. There's a lot of aspects, a lot of components. And you have to agree under these various components. So the process is underway. It takes time. We're talking about a project somewhere in the region of EUR 15 billion to EUR 20 billion. But it's so big that we have to take time to reach an agreement given the size of the project. There are 2 businesses where we do a lot of AI -- to be efficient in artificial intelligence, you need digitalized processors, and we have 2 completely digitalized processes, TF1 on the 1 hand and Bouygues Telecom on the other one. We have processes that are digitalized in other segments, but there's less digitalization. People work in very concrete areas. But the 2 areas where we use a lot of as I said, Bouygues Telecom and TF1. Benoit concerning Bouygues Telecom, would you like to answer that?
Unknown Executive: On AI, there are 2 areas in which we work in AI for our own internal processes to help employees with the activities, but secondly, to provide new services to our clients. We began with Gigafactory sometime back to upscale and to progress. There are areas where we've made good strides forward in customer relations to help our customer relations managers with generative AI. In IT development. We also use AI tools. But broadly speaking, we're now at a stage where we will move on from experimentation to upscaling. We are now citing a tool for our employees in-house. We've over 1,000 agents involved with over 100 are multi-business cost-cutting. We're now at a phase where we are going to scale up. And of course, for our clients, as Olivier said earlier on, we've begun, including an AI processor in Italy. That enables us to improve the quality of picture. We have HD high-definition resolution which will enable us to provide other functions in the months to come, fractions I won't tell you about today. But that will be enabled on our TV box in the future. In the liquid CapEx. Of course, we need to optimize networks. And of course, maybe some savings possible here, but it's way too early between what we're talking about and what's going to happen. We need to check things.
Unknown Analyst: Thank you, and thank you to Pascal to whom I wish a very happy retirement.
Operator: Next question comes from Nicolas Mora from Morgan Stanley.
Nicolas Mora: Good afternoon. One final question. We saw that your balance sheet is exceptionally good, exceptionally strong. You began with bolt-ons with Equans in a very measured manner. Have you got a pipeline that includes a bigger target in what region or what -- and what business segments would you like to expand within Equans? And of course, the U.S. deals for Colas, the deal that wasn't closed at the end of last year. what's the life of the land? Is it an antitrust issue or a price issue.
Olivier Roussat: Now [indiscernible] which is the topic we discussed together last August, the deal hasn't been closed because it's in Phase II before the antitrust authorities. This usually lasts an average of about 9 months. We began Phase 2 last October. So I don't think the deal will move in the very short term. When it moves on, we will be very happy to close it out and tell you about it. We have 2 areas where we need M&A to improve our profitability. There are 2 big businesses, Colas and Equans. And in these 2 areas, it's only natural that we should seek to densify our presence because that will mechanically help us improve the profitability of our operations. That's the case with Colas with Suit-Kote. It's also the case with Equans. Once we've said that, let me give you an example of an area where we'd like to expand. That is Germany. In Germany, Hasselmann, is a railway company. We felt at the time that this will be the first of a series of targets in Germany. To date, that list totals 1 company. It's not that we don't want to go any further. We're not buying for the sake of buying. The targets must be of interest. At Equans, there is an eagerness to expand. But where do we want to expand is the former Western civilization of Northern Europe, North America, Australia and potentially Southern Europe. But broadly speaking, for M&A deals to come through where we need a pipeline, the sales in Germany are just below the EUR 1 billion mark, mostly by Equans. We'd be very, very happy to do more, but we need reasonably priced targets. A number of small acquisitions, Jerome, you're quite right. There are areas where deals and until they're signed, well, they're not done. Last year, we thought we would close out one. And just the day before, we lost our grip on it. The process isn't very industrialized, but it's a very professionalized industry. At Colas and at Equans, the companies are structured in such a way as to analyze the deal flow and these bolt-ons are part and parcel of the business model of these companies. So we will do deals when good deals arise. With Bouygues Construction, the idea of improving our footprint or even of establishing a footprint in a country as we did A W Edwards in Australia, which was a new venture for us, can be of interest to Bouygues Construction. But the real rationale behind M&A that will improve profitability, the real rationale is in countries where we already exist. And that's what we're looking at with Colas and EQUANS when the opportunities arise. And of course, we are pretty much dependent on vendors. It's not a case of buying for the sake of buying. But you're quite right, there are and will be deals when and if they become available. We have buyers. We are seeking sellers.
Operator: The next question comes from Akhil Dattani from JPMorgan. [Operator Instructions] The next question comes from Abhilash Mohapatra from BNP Paribas.
Abhilash Mohapatra: I've got 2, please. Firstly, on [ Equans ], I guess, this has already been answered. Just in terms of your top line trajectory, you're obviously guiding to stable in 2025, which is an improvement -- sorry, in 2026, which is already an improvement versus last year as you sort of execute on your plan. Do you see this business returning to top line growth in '27? I know you've talked about there's no reason why you can't catch up with your peers given these are very similar businesses. But just wondering if you have -- if you can give us some color on when we can see the business returning to top line growth. And then just on the telecom side, we saw an announce -- recent announcement of one of your competitors continuing to expand their network that signed a build-to-suit agreement for 2,500 towers. Just wondering, is that something on the cards for you? Or do you think that your network and towers are currently in the sort of right area?
Olivier Roussat: Just to start, we start with telecommunications at the time that Jerome prepared the answer to the first one. So Benoit, about the build-to-suit trend?
Unknown Executive: So this was an announcement by our competitors that they have a partnership with [indiscernible] to expand the network, the mobile network. Well, we do have similar partnerships at Bouygues Telecom. We've been doing this, and it is a sort of thing that does happen in a telecom industry in Europe or in France. We've been rolling out our own network. As we speak, we're increasing the number of sites on the territory. We do not announce it ahead of time because as you can imagine, this is highly competitive and highly confidential. But when we display all the awards, the fact that we've been recognized as service providers, not just for mobile -- not just for fixed, but also for mobile telephony. So our intention is to provide best possible service to our customers, both in the mobile and in the fixed business. And so we are also expanding on our mobile network. Jerome, on top line at Equans, I believe we've already given the answer. We're pretty confident in the guidance we gave for 2026. All right. Well, thank you, Jerome. I'm afraid that was that.
Operator: The next question comes from Rohit Modi from Citi.
Rohit Modi: I have 2, please, as well. Firstly, again, on Equans. That on the COPA margins. You are exiting Equans COPA in 4Q at 5.2%, but you're guiding 5% for 2026. Just trying to understand if there's a step down in the margins that you're seeing sequentially from here whether in the first half or over the year? Any color there would be very helpful. And second question, again, sorry, on the SFR deal. We have seen some headlines today about the remedies that you spoke about. There could be some remedies. Now we have seen different level of remedies in the sector ranging from introducing a new operator, literally fourth operator to very benign remedies recently. Directionally, where you see France -- now it's a different market, but directionally where you see France stand? Or what do you sense from the discussions with the regulator, given that this might be one of the basis for the deal going ahead. So any color on that would be very helpful.
Olivier Roussat: We start with the telecommunication answer, and then I will let Jerome give this guidance that when we give a guidance doesn't mean that we won't do it better than what we say, but we will cover this later. And the first one is about -- I understand this is about the antitrust remedy that we could have. This is a discussion when -- if we do the deal, there is one thing, which is who will be the antitrust authority able to analyze it. And according to the -- there is 2 possibilities, either it could be done through the antitrust -- the French antitrust authority, either it could be done through Brussels. And the question is we have to talk with the one who will be designated as the antitrust authority. We think that there will be, at the end of the day, only one antitrust. There won't be -- we don't think there will be a situation. There will be part of the deal done through Brussels, part of the deal done through the French one. We consider that there is -- logically, it could be done only one place at the -- all the procedure will be done at the same place because I remind you that there is not one procedure for the antitrust. There is 3 of them, one with Iliad and SFR, one with Orange with SFR and one with us with SFR. So as there will be the 3 one. And when we know which antitrust authority will be in charge of it, we will discuss with them that's what we could do. There is theoretical approach where we consider that there is a few things as we know the antitrust practice that could be asked from us to for the bid. There is also maybe some change with the new [ Drahi ] report to give us some opportunity to enhance the remedy process. But at this stage, I cannot answer. First, I don't know which entity will be in charge of it. And second, we need to talk to them to be able to see what they will request. But for sure, it could be a situation. If the remedy is to be able to consolidate the market from 4 to 3, we need to have a fourth one, I consider this is not exactly the definition of consolidation. Jerome, do you want to?
Jerome Stubler: Yes, in Q4, 5.2% on Q4 alone. So you have a roller coaster effect. And it is often the case that the performance is better in Q4. Back in February 2023, I did answer one of your questions back then. You asked whether the first steps of improvement on these steps easier than the following ones. And I said something that remains true. The first steps are those where you address issues of organizational improvement, things that you -- well known issues. And then the next steps are changes in corporate culture and that is where you can generate a better performance down to a very fine level. Now as Olivier pointed out, the big advantage is our competitors are ahead of us in terms of profitability. Some are doing even better. So we have reason to believe that -- well, this can drive us upwards. Having said that, the guidance was given for '26 at 20 -- at 5%. It hasn't changed. And we shall remain humble and focused to achieve just that.
Operator: No further questions by phone. I'll give the floor to the speakers. And no further questions from the audience. So enjoy the rest of the day. And we shall see you again. We shall see you again in July in this very room.